Operator: Ladies and gentlemen, welcome to the DSV Interim Financial Report Third Quarter 2020. [Operator Instructions] Today, I am pleased to present CEO, Jens Bjørn Andersen; and CFO, Jens Lund. Speakers, please begin.
Jens Bjørn Andersen: Thank you very much, and welcome, everybody. We’ve been looking forward to hosting this conference call for a long period of time, especially since we released the trading update some weeks ago. So the format will be, as you probably know it, we’ll go through the results and leave plenty of room for questions at the end. So if we start by taking a brief look at Page number 2. We kindly ask you to read the forward-looking statements that we have put on the slide. And once you have done that, you can go to Page number 3, where we have the agenda for this morning, which consists of some highlights and business review from me, and then Jens Lund will take the next three points. And then we will go to Q&A. So Page number 4 describes some of the highlights. We’re extremely pleased this morning to be able to announce what we call extremely solid and very good result. It’s the highest EBIT result in the history of our company. So it’s a day of joy and happiness in the company. A lot of hard working employees have done a fantastic job. And it’s also great to see that they are extremely proud and happy about that performance. Tracking the development of the results of the company means a lot to every single employee of DSV. So very, very good. We are happy to say that the market conditions have been better than anticipated in the quarter and all of the three divisions this time has really shown some very strong results. So we have, of course, achieved the good results due to a lot of facts, which we will come back to during the presentation. But the two main ones is, of course, a very positive impact of the acquisition of Panalpina. And then also, we have exercised a very strong cost management during the quarter, which is also reflected in the numbers. When you are slightly below on your own expectations on turnover and GP, it’s a great pleasure to see that the cost base is also significantly lower than what we expected it to be at the – at least the beginning of this year before the COVID situation hit us. We do say this morning that the integration of Panalpina has been successfully completed. We might throw in a few comments in the annual report, I guess, on the acquisition and to sign off finally on the acquisition. But like we don’t talk about the UTi integration anymore, the same goes for Panalpina. So that means a little over – within a little over one year, we have managed to integrate a substantial company into DSV. And Panalpina are now a part of our company like many other of the acquisitions we have done. And based on the information we have right now, we do believe that it has been possible for us to generate a lot of value by acquiring Panalpina. We upgraded the outlook for 2020 on the 9th of October, and Jens will come back to that. And this morning, we have announced, which is a great pleasure, another new share buyback program of DKK 6 billion. Also, just to sign off in front of shareholders that there’s absolutely no change. We had indicated that in the past. The capital structure of our company is intact, and we will continue to redistribute the proceeds of the company to shareholders through – at least primarily through buybacks. So we have initiated this program today. You can see the numbers below on the charts yourself. We are pleased with the numbers. If we go to Air & Sea, another very, very strong results. It’s may be interesting to note that the performance has continued and the strong development in EBIT. So the difference in the quarter between this year’s result and last year’s result is actually higher than the annual EBIT result of Panalpina, which shows that it has been possible for us to generate tremendous synergies. We’re pleased about the results. Somebody asked why we only made DKK 1,994 million when we had indicated that would be DKK 2 billion, and we really apologize for that. But of course, when we give a trading update, we give it – we round it up. So there’s no drama in that at all. So a significant uptick in the EBIT. And the margins are also the highest we have seen. So overall, we are very, very happy with the performance of the division. And we are now ready to meet the new challenges, which I’ll come back to on the next slide. So first, we will talk about air freight. We have – this is Page number 6. We have split up the – both Air & Sea into two different slides. You can see the volume and the yields. We managed to achieve a somewhat higher yield than we had indicated after Q2. So a yield per tonne of almost 8,600, which was very satisfactory. It’s still a constrained market with a lack of capacity. We’re super happy about the freighter network, the legacy freighter network from Panalpina. It still adds a lot of value to DSV. It’s important to stress that we are still an asset-light company. We are not an airline. And it still accounts for a very small proportion of the volume that we move. We are seeing a decline still on the markets of between, we estimate, 14% to 17% year-on-year in volume terms. And that goes against the development – adjusted development in DSV of 23%. As such, this is not a surprising number. But we are working hard to get into a situation where we will be able to show market share growth again, like we have done – or in the past, any of the other large acquisitions we have done. We probably have to get into Q1 before we see a big improvement in the performance volume-wise compared to the market. So if we go to Page number 7, it’s the Sea freight development. It has been more stable. Lines have still exercised a lot of discipline. So rates are high, record high on Trans-Pacific and also high on Asia to Europe. We are also happy with the development we see. A slight decline in the yields, which partly at least has to do with the currency and a slight dilution due to growth in projects business as well. Trans-Pacific has had a strong volume development in Q3, and we hope and expect that also to continue into Q4. We have seen also a year-on-year deterioration in the markets. It has improved, as you can see. The market is now between 0% and 3% loss. And what we have seen in DSV is a negative development of 14% due to the same reasons, as we talked about, for Air freight. We have said goodbye to certain volumes from Panalpina that did not fit the structure of DSV and we had certain customers who are loss-making. And of course, we are not necessarily sad to see that volume leaving. The problem is a little bit that it takes 12 months for the volumes to be out of the comparison, so we have to have some patience before we can start to see volume growth above market. But also for Sea freight, we do hope and expect that to be the case when we get into the new year. So once again, a fantastic result from the Air & Sea operations, really, really extremely happy to see that performance. I’m very happy to, on Page number 8, to be able to say the same for Road. They have had an extraordinary result. They’ve had both for the quarter and for the month, at the end of the quarter, the best performance they have ever had. Actually, a pretty good volume development. They have managed to take market share. They have not been as disturbed, you can say, of – with the integration, as we have seen with Air & Sea. And when you handle the volume also with a significant lower amount of employees, of course, we see the impressive – it’s actually the lowest growth in EBIT, but I think nobody can be too displeased with a growth in the EBIT of 33%. So very, very strong performance, and we are very happy. And the team in the Road division and all the employees can be proud of the performance. It’s really well-deserved also. They have been working very hard to achieve the numbers. So great. The last thing before I hand over to Jens, it’s the Solutions division. Also growth in EBIT of over 30%. Strong growth, driven by actually growth this time also in GP, and also, like we’ve seen with the two other divisions, also a very strong cost discipline. We have seen EBIT improvements in many places, but we were particularly pleased to see that the operations in APAC, although still relatively small, are developing in a very positive way. So it’s an area where we have great, great expectations in the future. Good activity with industrial customers. And also, e-commerce and pharma and health care are doing really, really well. We are on a journey which will not – hopefully not in the foreseeable future when it comes to consolidation and building new warehouses. And we have a high utilization, and we have successfully implemented new operations around the world. And we have actually also managed to solve a couple of troublesome contracts that we had in North America. So as with the two other divisions, a rock solid result from the Solutions division, achieving a very high absolute EBIT and also margins which are at the top of any ranking, you can find. So also to the Solutions team, well done. Continue the good work. And with these brief remarks, I will just hand over to you, Jens.
Jens Lund: Thank you very much, Jens Bjorn, and I’ll try to go through it quickly as well. On the revenue side, we are getting closer to the average revenue of DKK 10 billion per month, which is, of course, a milestone for us when we can report that, because that means that on the revenue side we will be back to pre-Panalpina if we added the two companies up. We have grown – you see the growth rate is a little bit lower because we just consolidated Panalpina from the 20th of August last year. So there’s a little bit of extra growth due to the fact that we still had some comparisons that didn’t include the full year impact of Panalpina. The costs, GP margin is healthy. It’s also comparable to last year. So we have a solid development on our GP. Even if freight rates fluctuate quite a bit, that’s certainly under control. If we then look at our fixed costs, I think it’s very clear that the – both the integration and also the COVID-19 cost savings are being implemented, as we have disclosed to the market, and we’re also a little bit ahead of plan. So there’s not really much to say about that. I think we are very proud about the EBIT margin of almost 10% in the quarter and also 8.2% for the year so far. There’s, however, one thing that I would like to point your attention to, and that’s certainly the financial items, the exchange rate adjustments. I heard that there was a little bit of concern among some of the analysts whether that was something that was a permanent cost for the company or whether it’s something that is something you have to take into consideration when you calculate your EPS. The thing is that when you account for intercompany loans under IFRS, you’re not allowed to take the translation risk under the equity. It has to go into a P&L, unless these loans they meet a certain criteria. When – and this means that they need to be some kind of a permanent financing internally. But as long as we are under integration, then these loans – and the structure is not clear, then the translation will have to be reported then in the P&L. So now it’s – in particular, the dollar or the dollar-related currencies have declined, and therefore, these almost DKK 800 million that stand there for nine months is a situation where that’s a consequence of that. It’s not got any financial liquidity impact. And as I said in the good old days, we would have recorded this on the equity and then we would not have had to talk about it. Now it’s in the P&L, and it’s just the way it is. We have to be compliant. So – but I just want to point that out so that everybody is aware that this is not something that, if you model it going forward, unless you model the dollar down or something like this, then, of course, there might be an impact. But apart from that, you should take it out. Then the tax, it’s also a little bit in the high end. It is a consequence of us making the integration of Panalpina because there are certain transactions we have to do that trigger a little bit of tax. It can be stamp duty. It can be – sometimes there’s a small withholding tax on something that we move around in the structure in order to consolidate and get the synergies out. It’s something that will impact this year. There might be a little bit spillover to next year, and then we will have done most of it. So then I think the – one of the questions we often get is also on the headcount and where are we at. And I can tell you that we’ve actually, in the quarter, added 3,000 blue collar employees or actually a little bit more than 3,000 blue collar employees. So when you look at the numbers, you have to take that into consideration when you evaluate the quarterly development. So right now, we are, I think, a little bit more than – or almost 27,000 blue collar employees. So the activity is definitely picking up again, and we were pleased to see that. If we go to Slide number 11, just an update on the cost savings. I don’t think we should dwell too much about it. I guess it gives comfort to see that the plans we have made, that we execute on them and that we are slightly ahead of them. And I think we can also say that we will spend a little bit less resources on delivering on those plans, which is also a positive thing. So we’ve managed really to handle most of the infrastructure in a good way. And also, our staff have been able to find solutions sometimes themselves so that they found another job before, we had to reduce the number of headcount. So we’ve found good ways, and it’s been constructive all the way around. If we go to Slide number 12, the cash flow. Yes, sometimes the cash flow statement, prepared on IFRS, it can be a little bit hard to read. But I think what is important is the number that is the adjusted free cash flow, that’s sort of the cash that we produce and that can be compared to most of your models. And I think it’s clear to see that we definitely convert the income that we generate into cash, and we can then use this. And I will come back to the share buyback a little bit more on the next slide. But we can then allocate this capital to where it’s needed. The net working capital, we’re still not satisfied. There’s much more we can do. But it’s good to see that we are hovering around the 3% mark. And Q3 is normally a difficult quarter. So actually, we are satisfied with that development. The net interest-bearing debt, low. The gearing ratio, also well under control. I think we’re all focused on, of course, to have a certain debt level, but in this COVID-19 times, I guess, we also have to be a little bit on the conservative side. We have initiated the share buyback. And I’ve learned that there has been some calculations made by some analysts that it could have been higher. And we can say that’s absolutely correct. But we are not here to run the company to all the limits, but we have to do it in a sensible way, which we believe we are doing. The duration on the debt, we have very long, as well, very stable financing. And I think that’s it on the cash flow side – slide. The outlook, we’ve already communicated that. The only thing that is new on this one is that we spend a little bit less on the special items to obtain the synergies. We’ve already talked about that. Of course, FX impacts our results. And here, we state that if we stay at the current level, then that should not be a problem in order to deliver on these numbers here. I think it’s important also when you see the Q3 results, that there’s been a negative impact of FX on the EBIT of approximately DKK 75 million. So of course, in the grand scheme of things, it’s not that bad, but it’s still quite a significant impact. And then if we go to the next slide, number 14. It just state that we start the share buyback. It will run until the 30th of April. And I think it’s a solid statement that the company is in a strong position. And of course, it’s – as Jens Bjorn also said, it’s just, for us, our policy has been unchanged all the way through. Of course, we had to stop until we understood the ramifications of the pandemic. But now we are back again, and we will definitely have the same capital allocation policy as – or follow that, as we’ve done for as long as I can remember. So I think that was basically it. And then we’ll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Rasmussen at Danske Bank. Please go ahead. Your line is open.
Michael Rasmussen: Yes, thank you very much. And great numbers, guys. So three questions from my side. First of all, on the air cargo rates. I think that if we look at it in the past couple of weeks, we’ve seen them growing quite rapidly, both Asia to Europe and Europe to the U.S. Some of them actually double-digits. Can you just talk a little bit about how do you see this coming into your numbers? How do you work in terms of getting capacity? I must imagine it must be a little bit like the Wild West out there. Second question is on the Road. So 21% gross margin, quite impressive. I don’t think we’ve ever seen these levels before. Can you just add a little bit comments, is this sustainable? And is this also impacted by fuel prices? Last question is more of a general question. We do see some of the large carriers on the Sea side starting to get more and more eager on using digital booking platforms and moving also more and more into kind of an end-to-end solutions on the logistics side. Can you please comment what you see out there on that side? Thank you.
Jens Bjørn Andersen: Yes. Good. I’ll try to dig in. Thanks. All good questions. It’s correct, Air freight rates are high and we are happy that we still have access to the legacy Panalpina freighter network. We have actually expanded that a little bit. It’s important to stress also on this call, we are still an asset-light company. We don’t take unnecessary risks. So it’s not like we stand naked every morning and have no cargo to put in these planes when we wake up. So we have a very good solution. And we are extremely pleased to have access to that capacity in these times. It has correctly been described as the Wild West. It had actually normalized a little bit, but now we are entering what we normally in the old days called the peak season. This will be a challenging time for us. But with the right structure and the right way of addressing this, we should turn that into our advantage. So we are pretty pleased about that. Road, it’s correct that it’s an impressive GP margin that they have. And they have done a lot of initiatives, which we have actually seen the effect of in the quarter. So it’s probably too early to say that this is exactly the minimum that you can kind of calculate every single quarter. But we do expect that some of the improved initiatives will have a long-lasting effect. So we don’t necessarily believe and hope that we will get back to the lows that we had some time ago. So very good development, and they have done a lot of great jobs. There has been in some, you can say, temporary impacts at the beginning of the quarter where we had some overcapacity, where we could source the transportation slightly cheaper. But having said that, the end of the quarter was, from an EBIT perspective, the best by far, the best month they’ve ever had in the Road division. So there’s a lot of room. There’s a lot of room to be optimistic. On the carriers, I don’t want to comment too much. I have the opinion that they live their life and we live our life. We have noted that some of them, they are extremely vocal about ambitions going end-to-end. It’s important for me to emphasize today that being a carrier, a shipping line and being a logistics company, a freight forward, it is really two different things. We cannot offer the services that they can and they can simply not offer the services that we can. They don’t have the network. They don’t have the IT. They don’t have the capabilities, we think. So we do watch what they are doing. But at this moment in time, we are not having sleepless nights because of what they are implementing.
Operator: Thank you. And our next question comes from the line of Daniel Roeska of Bernstein Research. Please go ahead. Your line is open.
Daniel Roeska: Thank you very much. Good morning, gentlemen. Three, if I may. Number one, about the organic growth. So as you focus more on organic growth going forward, what level would you consider a good performance? Something like kind of 20%, 30% ahead of market for four quarters? Kind of what are you – what do you think you can achieve? Secondly, can you talk a little bit about the operating leverage in the business? If volumes went up by, say, 20% in Sea & Air, by how much would your own OpEx go up just approximately? So what’s the operating leverage as you grow into that opportunity next year? And then you’ve talked a little bit about new and big M&A targets before, saying they may have to be a little bit smaller than 50% of your current size. Does this mean kind of to sustain your long-term growth rate, we’re just going to see more deals as the available targets get smaller? Thanks.
Jens Bjørn Andersen: Thanks for those questions. Organic growth-wise, we have not set a target. And first of all, we’ve said it will probably be difficult for us to outgrow the market in Q4 because we still have the effect of the business that we have shredded, so to say. Full year effect is still – will be seen in the 2019 numbers in Q4. So I would say if you analyze the history of DSV, we’ve probably never been the company who has taken the largest market shares. We’ve probably not been the ones who have outgrown the market the most. We’ve been the ones with the highest yields and with the highest EBIT margins. And hopefully, we probably also had the highest EBIT growth in absolute terms. And this is extremely important for us to remember that it must not be growth for the sake of growth. Having said that, we do have the ambition of outgrowing the market when we get into 2021, so we need to demonstrate market share gains. Operating leverage, if you go back in time as well, you can find a lot of answers to the questions in the history because nothing really has changed. We do expect to be able to convert a much higher degree of the new generated GP to EBIT than the existing ones. And I don’t know exactly what that number will be. But it’s not like productivity is absolutely maxed out. We will continue to see ways of increasing the productivity. If you look at the Road business as a good example, I think, Jens, are they 800 white collars approximately down year-on-year? And they handle more or less the same volume as they did a year ago. So that describes a little bit the potential, and that is also what we will see in Air & Sea. M&A, it’s still too early for us really to talk about. We are in absolutely no hurry. We have the COVID situation. We have a deep respect for that in terms of integration. If we were to acquire a large company right now, maybe the timing is not right for that reason. And then we also just need to digest Panalpina. So we – it’s correct that you say because of the fact that we bought Prime Cargo, as some of you probably saw yesterday, so that’s not the new benchmark that we will do, a lot of these are small acquisitions. We still have an ambition to go after large deals. They are still out there. We still have to work hard to probably make them happen in the future. But we have the ambition. Every time you know we see the results like we’ve seen now of acquiring a competitor, like we saw with UTi, we saw it again now with Panalpina, it kind of underlines the fact that it is possible for us to generate shareholder value through M&A. So if we get an opportunity, yes, we will be ready. We will also remain disciplined. And again, also rewind to what we said before, Panalpina, it’s not so easy. Targets are not always open. So some work probably needs to be done. But then, yes, we are still optimistic about M&A.
Operator: Thank you. And our next question comes from the line of Cristian Nedelcu of UBS. Please go ahead. Your line is open.
Cristian Nedelcu: Thank you very much. Thank you for taking questions. Three, if I may. First of all, coming back to the Air GP per unit. Can you help us reconcile between the Air freight rates moving up in October and your expectations for GP per unit to come down in Q4 versus Q3 levels? And can you tell us if you’re still predominantly charging spot rates or you’re reverting to that longer duration contract with your customers? Secondly, looking at Ocean. What is the visibility you have in Q4 in Ocean? It looks like demand is picking up quite a bit on a few of the large trade lanes. Can you talk a bit about your trade lane strategy going forward? Do you target to improve market share on some of the trade lanes going forward? And lastly, I believe your U.S. conversion rates in Air & Sea have been north of 50% for a few years now. Can you help us understand what is driving that? And to what extent you believe you can replicate that in other countries and regions over the next years? Thank you.
Jens Bjørn Andersen: I’ll take those questions. Also, Jens, you’re free to chip in. But U.S. is correct, they’ve had a fantastic conversion ratio for a long period of time. It’s one big market, and we get the scale benefit of that. Even though we do consolidate a lot in Europe, we are still a lot of individual countries and you need to adhere to different legislation. And from an administrative point of view, we can achieve, I should say, the benefits in the U.S. What we – what’s going to happen in the future? You have to have some patience. We will – we are working on some long-term financial targets for the future. And once we announce those, you will see the aspirations that we have for the whole division. So – but it’s a nice benchmark, and I can tell you all the other DSV countries, they are admiring the strong performance. And they see that as a good benchmark, and I’m sure all of them would love to replicate what is happening in the U.S. air freight rates. When you say, why are we indicating slightly lower yields, you know yields are very, very high. Things are very, very uncertain right now. We still want to be slightly conservative and not go out and guide for much higher rates. The market has also – even though rates are going up, the mechanisms below have stabilized somehow. The relationships between our customers and us have stabilized. We have all come to have a better understanding of this very volatile environment. So they – maybe that shaves off a little bit of the opportunity of excelling in terms of having higher yields. Ocean, we have to be opportunistic. It’s not like we have a strategy of only growing on Trans-Pac, for instance. I mean we participate in all the tenders that customers are inviting us to. We have seen though, we have had some sessions with our U.S. management, we have seen a fairly strong development recently on Trans-Pacific. We also have some new capabilities also in terms of acquiring larger volumes on that lane that we got from Panalpina. So if we were to pick one, it’s also the lane where we are underexposed. We wouldn’t necessarily mind growing on Trans-Pac, but that does not exclude growth on all the other trade lanes.
Operator: Thank you. And our next question comes from the line of Sathish Sivakumar of Citigroup. Please go ahead. Your line is open.
Sathish Sivakumar: Thanks, Jens. I have three questions. Firstly, on Air & Sea. If you look at the cost per FTE in Q3, it’s around DKK 77,000, which is similar to the level that you had in quarter two of 2019, which is prior to Panalpina. So do you see a further potential to reduce this cost per FTE? And what is the optimal level that you can maintain at the same time go after market share? And secondly, on employee mix, again in Air & employee mix, again in Air & Sea. Could you have some color on what percentage of 18,000 FTE in this division is legacy Panalpina today? And finally, on Solutions, what is your exposure to e-commerce and pharma? And can you share some color on activity levels between the start of the quarter and then September?
Jens Bjørn Andersen: Can you repeat the last part? What did you say, I didn’t….
Sathish Sivakumar: So what is your exposure to e-commerce and pharma in the Solutions segment? And also, if you could just give some light on activity levels in those two verticals between the start of the quarter and end of Q3? Or what does the exit rate look like?
Jens Lund: Yes. I think I can answer them. I don’t think you can have an optimal cost per FTE in the Air & Sea because it’s in 80 countries. So of course, it depends a little bit on – in which jurisdictions you’re working in. But I think we are now, as you rightfully say, perhaps down to a level that is somewhat lower than what we saw in Panalpina. And this is at least, in our view, a more accurate level that we pay for the people that do these services. Should it be a little bit more, a little bit less, it depends a lot on the geography. We, of course, try then to utilize also shared services and other things in order to make sure that if we have routine work, we can sometimes do it in areas where we can keep the salary levels a little bit lower. So I think that’s a little bit on that. How many Panalpinas to have a lift? I don’t think we mark them like this, but I can give you an estimate about it, I think Panalpina was 10,500 white collar employees if we exclude the blue collars, because I don’t think they are relevant. And of them, it would be my estimate that approximately 9,000 of them were related to the Air & Sea division. It could be a little bit more, a little bit less somewhere in a headquarters, somewhere in the other divisions or in the other areas of Panalpina. And perhaps 50% of them are not working for the company anymore. If you take COVID-19 and the other thing, I think that would be – it could be 4,000. I’m not sure because we don’t have the figure. So it’s a guess or it’s a qualified estimate. I don’t know what you want to call it. But we don’t sit and mark people. You come from UTi or you come from DSV, they are all equally good and it’s best man for the job. So what we pay for is productivity. And then if you can produce some shipments and you can make some GP, then we are happy. On e-commerce in the Solutions area, we see that it’s probably 10%, 15% – perhaps 15% of our volume that relates to e-commerce. I’m not sure. It’s definitely busy. I think it’s actually been busy all the way through the COVID-19 situation. So if we dig into the numbers, I don’t have them off the bat. I just know every time we talk about it and the people they need more capacity, they need more resources, they are extremely busy, it’s growing very fast. And then, of course, we can find areas where we grow 20%. We can find areas where we grow 50%. And we can even find areas where we grow more than 100%. So I think what we can say, it’s a game-changer. It’s a catalyst, the pandemic, for change when it comes to Solutions and our capabilities and the requirements that we have in Solutions. And I think that we follow our customers on that journey and also facilitate it for them. And with the number of square meters we have to add to our portfolio and the growth that we have in Solutions, I think it would be fair to say that we must be doing something right. So I think that’s what I can say about that right now. Was there something on pharma as well? Did you ask about that? Or – because I can also say that we have, of course, an exposure on pharma that’s growing as well. It’s somewhat smaller, that segment. It’s less than 5%, but it’s still an important segment. And I guess, also, it depends on what you’re doing because the logistics part of a pharmaceutical product is perhaps a little bit less outspoken. So we also see, of course, that here, we have significant activity levels and they have certainly increased. And also here, we see a lot of demand, new volumes and all the GDP-certified facilities and the pharma temperature-controlled capabilities very much in demand. That’s the only thing I can say. We are – I’ll not say we are sold out, but almost. So we have to develop new infrastructure, and that is what we’re doing. So we’re definitely part of that.
Sathish Sivakumar: Okay. I just have a quick follow-up on the shared service comment that you made. So what percentage of your FTE is actually in the Shared Service Centre today? And what was it, say, prior to Panalpina?
Jens Lund: I can say how many people we are in Shared Service Centres, but it’s also – they’re not all operational. They do with IT. They do finance. They do Air & Sea. They do a lot of – but we are probably 2,000 people in the Shared Service Centres right now. And what percentage it was, I mean we don’t calculate these numbers. It might be interesting for you. We look at the services they produce and what they produce, the manner and how efficient they are. It’s not a target in itself to have, what can I say, a certain percentage. Efficiency as the target. But I would – then if you look at the number of white collar employees here talking about 7%, 8%, and it probably would have been, what do I know, 5%, 6%, 7%. It’s growing. The service catalog we have for the Shared Service Centres, the things that you can do there with the modern technology. It’s a little bit more every year. So it might be that it’s been 5% to 7% before, and now it’s 7% to 8%. And when we speak in a year or two, it might be 8% to 9%. And that’s slowly the development that it’s taking, and I think we will just see that continue.
Operator: And our next question comes from the line of Casper Blom at ABG. Please go ahead. Your line is now open.
Casper Blom: First question, we’re now sort of starting to see some lockdowns, especially in Europe spring, would you also sort of expect a similar impact on your business and that you would still be able to sort of keep a very, very healthy profitability? Or what would be – would there be anything that would be sort of really different in a second broad lockdown? And then my second question, on the capital structure. With the new share buyback program, you’re buying back roughly DKK 1 billion a month. Is that also sort of a level that would be fair to assume for the rest of 2021? And would you, in any way, sort of consider making one big move as you’ve talked about potentially doing in the past and then sort of scrapped again. Thank you.
Jens Bjørn Andersen: I’ll start with the lockdown question. It’s anybody’s guess, Casper. I think we are in a much, much better situation now to deal with the potential lockdown were really taken by surprise in the spring. We had no plans. Now, we are well equipped to deal with the situation. And it’s also important for me to say, I had a discussion with the – with Soren, who runs the Road division. Yesterday, we have not seen anything. No impact whatsoever in terms of lower volumes. We have seen none of our large accounts shutting down production like we saw in the spring. So I think governments will also do everything they can to keep production up and running. And as long as that is the case, we should be fairly, what you say, in a good position. What is also very different is, of course, that we have cut our cost base significantly since what we saw. So the impact of a potential lower GP will not have the same EBIT effect now as it had in the spring. So – but we are, of course, also a little bit in unproven territory. We have to see what the hell is happening. But I can tell you that we are – we have a much better feeling about the situation now in terms of our own abilities to operate than what we had some years ago. And maybe Jens, on the – or some months ago, I’m sorry. And now maybe, Jens, on the capital allocation?
Jens Lund: Yes. I think you have a good calculator, Casper.
Casper Blom: You’re right. I think we’ve now taken a decision for the next six months. And there’s – it is a reasonable assumption that we still have some reallocation of capital to do for the remaining part of the year. And your numbers, they don’t seem that much off, so you could use that in your model. Will it then be DKK 1 billion or DKK 2 billion, more or less, also depends on what happens. But if we have the same assumptions as we have right now, I think you can put that into the model.
Operator: Our next question comes from the line of David Kerstens at Jefferies. Please go ahead. Your line is now open.
David Kerstens: First of all, on Air freight. What was the impact of the divestment of Airflo on the better-than-expected GP? And is it correct that it was about 4, 5 percentage points of volume? And without Airflow now part of the business, is it fair to assume that a new normal for yields would be above DKK 8,000 per tonne in the fourth quarter – or per kilo? And secondly, on the – on Sea freight, what are you seeing in terms of volume development after Golden Week on your Europe freight lane? Are volumes now starting to increase? Or are you still constrained by capacity bottlenecks? And then finally, on the M&A strategy, just a quick question. Would you still prioritize further expansion in Road freight? Or is it really up to the market and what opportunities are coming up? Or is Road freight now the next area where you would further expand? Thank you very much.
Jens Bjørn Andersen: It’s correct. To the Airflo, it did have – of course, it was low-margin business. It was approximately 5% of volume, as we’ve talked about. And it could be – I’m looking at some expert, but let’s say, 3% on the GP could – on the yields. Yes, I’m sorry. So it did have, of course, an impact. That is correct. Very low-margin business. We are seeing constraints on – still on Asia to EU. There’s no doubt about that. Not – I’m talking about the markets, not so much DSV. We have become a large customer, so to say, by the shipping lines now. So I would very much hope, and this is also what I see, that we do get some sort of preferential treatment together with the other large clients or customers of the shipping lines. So we do get the space that we need for our customers. But we also have to say that the carriers, they have exercised more discipline than they have ever done before. We still are open for most M&A opportunities. It’s very difficult to find a company who only does one of the three divisions that we have. We still favor Air & Sea, that’s still the case. It can really generate a value for shareholders. This is what we have seen with Panalpina. We are still seeing some constraints. When it comes to the CargoLink Way Forward program we’ve run in Road that prevents us maybe from doing isolated Road acquisitions. If we were to do an acquisition of a larger company who also, hypothetically spoken, had, apart from Air & Sea, also some Road, we could probably also – or we could also consider that. So we will not exclude anything. It’s not that we have a lot of – a long list of names that we will definitely not buy. So we are open, and we have to be opportunistic. The problem is not so much to find the candidates. It’s more, as we have talked about at great length in the past, it’s also to convince the present owners that they should engage into discussions with DSV. But we are hopeful. But again, as I said initially, we are in no hurry.
Operator: And our next question comes from the line of Neil Glynn at Credit Suisse. Please go ahead. Your line is now open.
Neil Glynn: Two question please, somewhat related. The first one, I presume the customer portfolio is still settling down to an extent following the Panalpina deal, notwithstanding some of the changes you’ve already mentioned. But just interested, is it fair to think that there still is a greater level of divergence across the portfolio of customer performance? And to what extent will 2021 also see further efforts to address this? And then tied to that, I’m interested if you have a sense what proportion of the volume you effectively acquired from Panalpina has appropriate value-added services attached. And to what extent have the Air as well as Sea volumes that you’ve taken on now got Road or Solutions from DSV also attached to them?
Jens Bjørn Andersen: When it comes to the last question, I think the restructuring, I think it’s important to say of the Panalpina customers, it’s behind us. We are not actively still communicate with about terms which were great in the days before we acquired the company. That is behind us. The reason that we still see it in the numbers is, of course, as it’s logical, it takes 12 months before the volumes are out of the comparison. So I think all the customers we handle now, you can probably find a few small exceptions, we have more than 500,000 customers in the company, they are good. They are classic freight forwarding customers, as we know them, industrial customers, like we know it from DSV. And we offer the value-added services, if you call it that, also to those customers in terms of customs clearance and all the other services which in – over the years have become a more and more important part of the GP. Locally. It’s not only marking up a container going from A to B. Then if that was your biggest value proposition, you would soon be out of business. So it’s much more complex than that. So we’re pleased about that. It’s also correct that we are doing more and more cross-sales to the ex-Panalpina customers, talking to them about the capabilities we have, and especially in Road freight, but also in Solutions. And of course, we have heard of some high-profile cases where we have been successful in achieving customer wins in the two other divisions. So I don’t know if that was the answer to the question.
Neil Glynn: That’s very helpful. Just to follow-on from the Road and Solutions aspect. And I appreciate, as you’ve mentioned, the restructuring of customers is basically behind you. But to what extent do you feel that there is still opportunity for cross-selling within existing customer base relative to the market share gain opportunities you’ve mentioned that you should start to see from the first quarter?
Jens Bjørn Andersen: One piece in the puzzle, so to say, it’s one initiative, of course, a good way for – it’s no secret. When we look at the numbers and we see that we underperform the market, nobody whatsoever in DSV, regardless of all the good reasons behind, are happy about that. We want to show growth. We all agree on that. And one part – one way of showing some organic growth is, of course, to speak to your existing customers who are hopefully happy with what we performed for them. And then try to sell additional trade lanes. It could be within one division, but it could also be between the divisions. So it is a clear strategy. We have much more intelligence from a data perspective now than what we did have in the past. We have much better statistics that we can look at. So I am actually fairly optimistic about our ability to get back on the growth, yes, trajectory in the future.
Operator: And our next question comes from the line of Muneeba Kayani Bank of America. Please go ahead. Your line is now open.
Muneeba Kayani: I just want to ask about vaccine transport and how you thinking about on the Air freight market. I believe IATA has said that vaccine transport would require about 8,000 additional flights. Would you agree? And how do you see it impacting the overall market and – in terms of volumes as well as yields? And then secondly, on your charter capacity in 4Q, how do you think about keeping it for a longer period of time since the air freight is likely to remain undersupplied in 2021? And if you have more of your charter capacity, then isn’t that good for your yields in 4Q? Thank you.
Jens Bjørn Andersen: Yes. It’s – some calls it the biggest logistical challenge the world has ever faced to get the vaccines out to the end user globally because, we have to remember, this is a global exercise. So transporting vaccines is nothing new. We have done that for many years, but it’s the magnitude. And I have heard this number. There are certain numbers flying around, but it’s correct. I also heard that 8,000 of full 747s which to be used for vaccine. And I was about to say, that’s the easy part. Then you need to get it from the airport to some small village somewhere in then you pick any country in the world. The consensus is that it’s not too much of a problem because the infrastructure is in place on the northern hemisphere. But in the southern hemisphere, supply chains are not as robust. But it is a challenge for us. But it’s also an opportunity for us. There’s no doubt about that. And how that will affect the – it has all the characteristics of disrupting the Air freight at the same time. Like when we transported the PPE, all our existing customers are, of course, asking us to guarantee that we will continue to support them, which we also, of course, have said that we will. So it’s an interesting thing. We see it as an opportunity for DSV. And we are actually warming more and more to the charter network. We are getting to know it more and more. And we are fine-tuning it also for it to fit more into the DSV way of operating, which is great. There’s a big, what you say, enthusiasm in the division for the concept. So we will keep it. And you are right, it should – if we are successful in what we are doing, it should also kind of keep a hand under the yields in the quarter. And of course, when we sit here and we try to indicate some yields, it is difficult for us. But rest assured, we will try to keep them as high as possible.
Operator: And our next question comes from the line of Frans Hoyer at Handelsbanken. Please go ahead. Your line is now open.
Frans Hoyer: In the Sea area, did you encounter any difficulties accessing Sea capacity in some areas? And if so, do you see that as a passing feature? Or is that something we are going to have to get used to? Given how carriers have changed their behavior and are more disciplined, as you mentioned.
Jens Bjørn Andersen: The reliability is still abysmal to say the least. I mean of the carriers, it’s a well-known topic, we’ve talked about that in the past. We are one of the largest, what you say, buyers of sea freight in the world. And of course, that is reflected in the terms and also in the slot allocations that we receive from carriers. So apart from a few hiccups and bumps here and there, I have not really heard of any big disruptions where we could not get the space. Basically, we can say we get the space, the allocation on the ships that we need. And we have a very good relationship with all the carriers.
Jens Lund: I can say one thing. It’s Jens here, the other Jens. We have heard that they give customers their own customers. What can I say, they have a very robust way of handling them. And that might be some of the noise that you have heard. Because some of these, they then come and approach us and would like our support to make sure that their supply chains, they work. So definitely, we can recognize that there’s a more robust approach from the carriers. Whether that is clear or not, time will tell. You know how it is. You have to serve the customer at the end of the day. And the customer, if you are too firm, then they also have a memory. So it’s a fine balance.
Frans Hoyer: Okay. You have now sold this Airflo business. Is there more of this type of business to – remaining? Or is that all of the perishable business gone?
Jens Lund: That’s more perishable business. The thing with the perishable business, it’s – we are a network business. And the perishables, they are often handled, what can I say, separately. We still have, what can I say, I think it’s actually still 7%, 8% of the group’s total volume that is perishables still. We are not, what can I say, contemplating anything right now because they have a better mix. There’s also more services related to it, so there’s definitely some where we do much more gateway work and stuff like, that. So we can add some value. Because if the only thing we can do is to make one set of freight documents and phone and book an airplane, then our value proposition, I guess, it’s rather limited. We need to do more work on every shipment. But given the perishable shipments are very large quantities, of course, there’s little documentation we can produce. So we are – of course, if then somebody pops up and says, listen, I would like to have a look at, perhaps they can – we can speak to them. But right now, we have sold Airflo, and that’s the current status.
Frans Hoyer: Okay. And finally, a question on the Air yields, not the Air rates but the Air yields, sort of the exit level of Air yields going into Q4. What is that level, roughly speaking?
Jens Bjørn Andersen: As said earlier, if we could get between 500 and 8,000, it would be – yes, we would be happy. This is something which is kind of the assumption for the guidance. And we have also given the financial guidance. Some call this conservative, I don’t know what it is. As I said, if you use that, you should be – as much as I can say, without guaranteeing too much issues, you should be home safe. And if we can improve it, of course, from that level, we would of course be happy. But then, as I said, even though activity level is picking up, we get into the busy season, it’s found some sort of a normalization. Also the relationship, the way we deal some of these very panic kind of solutions we made for customers have kind of disappeared now.
Operator: And our next question comes from the line of Lars Heindorff with SEB. Please go ahead. Your line is now open.
Lars Heindorff: Regarding Road, and in particular Solutions, revenue in both of those two divisions are down by roughly 2%. But you don’t longer disclose the organic growth. I’m just curious to find out how the underlying growth – I know you don’t really count volumes anymore in those two divisions, but how that would stack up against the increase in the number of employees, particularly in the Solutions divisions? And you talked about growth in that part of the business earlier, so revenue down, number of employees up. How does that add up?
Jens Lund: Yes. It’s a little bit hard, Lars. One of the areas where we have seen a large fluctuation in headcount is, for example, a country like South Africa. I think if you go back a year, the rand was probably, let’s say, 0.45, 0.47 to the Danish kroner. I think the average for the quarter has been DKK 0.38, for example. Then we have actually won quite significant volume in South Africa. And given that, for example, in a country like this, the headcount, they get a very low salary and then you have a low level of automation. Then it might not necessarily trigger a lot of invoicing, and it might also – the general translation might trigger some headwind. And here, we have one specific contract in South Africa where we have hired more than 1,000 FTEs. So it is numbers that really move the needle when you sit in local. And that’s also the reason why it’s very hard to get logic out of. Then you’re right as well that when you look at that revenue and also the increase in FTEs, I would say that probably at the end of the quarter, we also have – we were not necessarily hiring that many in July or August. But I think here in September, we’ve really seen that it’s been picking up. And I think also in October, you will see the same trajectory. So also, there’s some seasonality within the quarter, which we don’t really like to talk too much about because it gets really complicated. So that could be some of the explanations for that. Then it’s correct. If you then take Road and the external revenue rates, we have been able to procure cheap. And some of that advantage has gone to the customer, which is normal as well. So it’s hard to read something into those figures. But what you have to look at is our GP and you have to look at our conversion ratio, are we efficient when we do the work. And I think if you look at those numbers, we are at least internally quite pleased with the developments that we see. And if we can have it like this every quarter, I think we will all be very happy. So I hope this answers your query a little bit by confusing you, but there’s no real sort of connection between the things that you have asked.
Lars Heindorff: I hear you. If you can then just, to follow-up here, just focus on the GP then. Because GP was up by around about 4% in both of those two divisions. Is that sort of the trajectory that we should expect as we head into the fourth quarter?
Jens Lund: The GP is up because our customers, they really demand a lot of work for us. So I guess, it’s also a little bit market dependent. Then we add capacity and we try really to strengthen our network so that we do it better than the market. I would be happy to sell it for 4% up every quarter. But I think, realistically, if you model a little bit further out, you should probably go down to 3% or something like this, so that your spreadsheet, it still stays within reason and sanity.
Operator: And our next question comes from the line of Marcus Bellander of Nordea Markets. Please go ahead. Your line is now open.
Marcus Bellander: Just one question from me. And I guess we’ve talked about this before in this call and in previous calls, how you’re losing a little bit of market share during the Panalpina integration. It seems to me that maybe you’re losing a little more market share in Air freight in this quarter, although, of course, there are many moving parts. Would you agree with this statement? And if so, what’s the reason for it?
Jens Bjørn Andersen: We think it’s the development – the underlying development. When we sit and look at our own statistics, it’s very, very close to the same development we had in Q2. If you go down to the last digits, it could be slightly worse, but it’s not something that we are seeing. It’s a continuation of what we saw in Q2. So there’s no really big explanation to that, other than the ones we have already given. There were – we hate to say it because it sounds like a lot of bad excuses. But there were actually a lot of business in Panalpina that did not fit into DSV. There were some volumes which were heavily, heavily loss-making. It was significantly loss-making. We were super happy to take the last book of those customers. So it’s all behind us. It looked bad on the volume development, but it actually has helped us grow the earnings. So it’s not a continued deterioration there. It seems like things have stabilized, and I think that’s the most important kind of message we can give today.
Operator: And our next question comes from the line of Sam Bland at JPMorgan. Please go ahead. Your line is now open.
Sam Bland: I have two questions. First one relates to that question we just heard. I guess if we think about the phasing of these market share or volume losses, is it – I mean you may get some improvement on narrowing in the gap versus the market from sort of the start of 2021. But should we think that it’s probably not going to get up to – in line with the market level until, I don’t know, maybe later in the year, maybe whether it’s in the second half of 2021? And the second question is, I guess your e-commerce and B2C has probably been one of the sort of areas that’s benefited from COVID. How do you kind of assess the group’s exposure to that at the moment, the ability to kind of capture the growth there? So we’re thinking about the prime acquisition we saw yesterday. Could maybe future M&A look to sort of target that B2C/e-commerce area as increase. Thanks.
Jens Bjørn Andersen: Yes. It’s dangerous a little bit to isolate the clean e-commerce product because there’s a lot of moving parts. There’s a lot of elements in the supply chain where we can play a role. So taking large chunks of volume home from the Far East to Europe and the U.S. Even if we are not doing the final e-commerce part, it still drives volume growth at DSV, if you know what I mean. So if you look at the clean, clean e-commerce, it’s very, very low in DSV. I mean it’s – as we talked about, it could be 15% of what we do in Solutions. So if you take it as a proportion of everything we do, it’s not a whole lot. But of course, a lot of the – then Solutions might use Road as a subcontractor for some e-commerce volumes and Road might not necessarily see it as e-commerce. So it depends a little bit how you look at it. But of course, we are willing to invest further to grow it organically, use the new capabilities as a template, you could say, and roll that out throughout the organization. And what – some of the processes that they have in Prime Cargo, we can use that throughout the network. So we are very pleased about that. When it comes to market share gains, it’s – we hope to be able to, at least in Q1, to see a big, I would say, improvement if we will get exactly up to outgrowing the market from the 1st of January. I don’t know, but I can promise you that we will do everything we can. And we will hopefully see a big improvement already in Q1 next year.
Operator: And our next question comes from the line of Alexandra Thrum of Morgan Stanley. Please go ahead. Your line is now open.
Alexandra Thrum: I just have two questions, please. So the first one, just on Brexit. I see that there are a number of Road solutions that you’ve created for your customers as they start to plan for – well, as they plan for Brexit. What do you see the expected impact to be in Road towards the end of this year, beginning of next year? And then just secondly, just on the volume development. You mentioned you haven’t really seen any weakness from the recent lockdowns. What were the volume declines towards the end of the quarter in September? And how have they trended into October as well?
Jens Bjørn Andersen: Yes. We don’t talk about exactly month-on volume development. But I guess we can say that we have seen a continuation or improvement throughout Q3. And now October is not over yet, and this is a call about Q3 also, so there are limits as to how much we can disclose. But it seems like the positive development have continued into the beginning of Q4. And as we have heard of no large-scale lockdowns of any production sites where we operate, we hope that, that will continue. Brexit. It’s – of course, we have been communicating with our customers, I don’t know, for the last three, four years about Brexit. In a way, it’s going to be a great relief when we get into the new year. It’s a big, big step in the wrong direction, if you ask me. That’s another story. But we have implemented a lot of new functionalities, especially on the customs clearance side. We have, I don’t know, Jens, if you have the number, how many resources we have hired to assist our customers. But it is a significant amount of people that we are adding to the company with the customs skills. And so even though volumes might deteriorate short term at least due to Brexit, again, here, we see it as an opportunity also to grow by offering new services that we can make money on to – with the customers.
Jens Lund: And I would just add, so that we quantify it a little bit. We’re actually talking about, to handle the volumes with the information we have right now, we need 100 FTEs. So it is – I don’t know what they’re thinking about. If they are thinking, I think, I should say. But it doesn’t matter. We’ve now mobilized, I think, hired and fired people. I don’t know how many times we’ve had dialogue with the customers. It’s really – it’s not – it seems like there’s no adult in the room. But we will have to deal with it. That’s the way it is.
Alexandra Thrum: Okay. Sorry for bringing up a painful topic
Jens Lund: It’s okay. You know what, we will – actually, it’s a good topic because we will get a small fee every time we make a – fill in a customers' declaration. So perhaps I shouldn’t be so – but it’s just you have to prepare yourself, then you don’t prepare, then you prepare yourself, then you don’t prepare. And you don’t know what exactly it’s going to look like. So of course, it’s a hassle. But now we have done the hassle, now we will collect the money and then we will be happy to show them to you, guys.
Operator: And the last question comes from the line of Casper Blom at ABG. Please go ahead. Your line is now open.
Casper Blom: Just a little follow-up. We talked about CargoLink Forward earlier. Could you explain to me why is it that you can integrate Panalpina in 11 months, getting all of their IT on your system, but it takes longer to introduce CargoLink Forward? What’s sort of the difference in those two exercises? Pardon if it’s just me being ignorant here.
Jens Bjørn Andersen: I will pass this question to Jens, I will just please we are one hour and 20 minutes into this call. So please, restrain yourself. I know you can talk for hours about this, but two minutes.
Jens Lund: But I’ll just say something overall. The thing is for the Air & Sea business, there is a production system available which we’re using. That is what you call enterprise-ready. So it can actually run a company that is operating globally. Such a system does not exist for Road. So it means that in reality, we have then to take a system which we have done off the shelf, and then we have to make it enterprise-ready. We have infrastructure that can do that. But this means that you get more into, whether you like it or not, making integrations, making sure that you can handle all the flows. And then on top of that, the Air & Sea guys they might not like that. But since you control a larger proportion of the infrastructure in Road, it’s a more complex operation. So in reality, we are developing a tool that can handle it. I think for the last 10 years, all the major transport companies on road have tried this. Spend or wasted, I don’t know what the correct term is, a lot of money and resources on it. And I don’t know how many of them have done pilots. We are piloting. We’ve certainly learned a lot as we go about it. And we are operators. We are not necessarily experts in inventing something. So we try to take as much off the shelf as we can. And that is the reason why. So you don’t have the platform, that is the big difference, if I should boil it down into a mega cube. And the first company that will really make the breakthrough and make that happen is going to be a winner for years and years. That would be like having a machine that can print money.
Casper Blom: Thank you.
Jens Lund: Good.
Operator: And as that’s the final question on the line, I’ll hand back to our speakers for the closing comments.
Jens Bjørn Andersen: Thank you, everybody. Thanks for all your good, insightful and intelligent questions. We are super pleased about that. You know where to find us if you have any follow-up questions. Unfortunately, we cannot meet up in person, but then we are here to answer any inquiries that you might have. We’re on the home stretch now for this year. Strangest years – year we’ve probably ever seen in the history of our company. We hope to end on a high. And we look forward to speaking to you guys again when we get to, I guess, it’s the end of February with the full year 2020 results. So on behalf of the whole team sitting here today in Hedehusene, we thank you very much, and have a good day. Bye-bye.